Operator: Ladies and gentlemen thank you for standing by and welcome to the Juniper Networks first quarter 2008 conference call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions). It is my pleasure to introduce Ms. Kathleen Bela, Vice President of Investor Relations. Please go ahead, ma'am.
Kathleen Bela: Thank you, Shannon. Good afternoon and thank you all for joining us today. Here today are Scott Kriens, Chairman and Chief Executive Officer, and Robyn Denholm, Chief Financial Officer. Today's call is restructured slightly differently than in the past. Scott will open with highlights of the business drivers during the quarter. Robyn will then provide a financial review before turning the call back over to Scott for closing comments. As discussed previously, the company is no longer reporting services as a separate segment. Services, revenues, and cost going forward are allocated to our RTG and SLT segments. In addition, we will be providing you revenue information broken out between the service provider and enterprise customers. Before we get started I would like to remind everyone that statements made during this call concerning Juniper’s business outlook, future financial and operating results, and overall future prospects are forward-looking statements that involve a number of uncertainties and risks. Actual results could differ materially from those anticipated in those forward-looking statements as a result of certain factors, including economic conditions generally, or in the networking industry, changes in overall technology spending, the network capacity requirements of service providers, the timing of orders and shipments, manufacturing and supply chain constraints, variation in the mix of products sold, customer perceptions and acceptance of our products, litigation, and other factors listed in our most recent report on Form 10-K filed with the SEC. All statements made during this call are made only as of today. Juniper undertakes no obligation to update the information in this conference call, any events, facts, or circumstances subsequently changed after the date of this call. Also in discussion the financial results today, Robyn will first present results on a GAAP basis, and for purposes of today’s discussion we will also review non-GAAP results.
.: With that, I will turn the call over to Scott.
Scott Kriens: The team and the entire company, Juniper did a very good job this quarter, and we performed extremely well against many of our key metrics. We delivered top line growth, up 31% over the last year, operating profits up 57% over the last year, cash flow from operations up 68% over the last year, as well as strong operating margins. All of which were goals we set for ourselves as the year began. In our diverse product portfolio, our geographic distribution coupled with our high performance networking strategy drew the momentum we saw this quarter, and I will comment more on that in just a moment. As an overall market observation, we see clear evidence that our position in the high performance networking segment of the market enabled us to effectively support our customers' top two priorities - to drive greater efficiency and productivity, while at the same time optimizing their business and network performance. So, let’s get underway and start with the review of the geographies in the markets across both the service provider and enterprise businesses that deliver this quarter's results. On a geographic basis in the first quarter, we saw balance performance across our markets around the world. The Americas represented 51% of total revenues in the first quarter, as compared to 48% in the fourth quarter of 2007, with particular strength in US service providers and key emerging countries in Latin America. Europe, Middle East, and Africa, or EMEA, represented 29% of total revenue in the first quarter, as compared to 33% in the fourth quarter, with strength among service providers in Eastern Europe and Northern Africa. Asia-Pacific or APAC represented 20% of total revenue in the first quarter, slightly higher, when compared to the fourth quarter of 2007 at 19% and highlighted by strength in Japan and China. On a year-over-year basis, we realized growth in all of our theaters with expanding diversification of the business worldwide. We saw strength in service providers markets worldwide, consistent with our expectations for the quarter, and the same was true of our enterprise business in both APAC and EMEA. While we saw some softness in our North American enterprise,, business overall linearity worldwide was similar to what we have seen in previous years, and we saw typical seasonality in the enterprise, but again nothing unusual compared with previous first quarter's in a new calendar year. So, let's now look at the service provider and enterprise businesses, and as a reminder, all of my comments pertain only to the high performance markets, where we are focused. I want to be sure, not to imply that these perspectives include commodity markets or more tactical purchasing decisions that others may see. So first, in the service providers, the service provider business continued to reflect healthy demand for our high performance network infrastructure both at the core and edge of the network. While there were always the individual networks and projects in one phase of growth or digestion, we saw no evidence of weakening demand environment in the US, or any direct impact on planned or in-process network infrastructure buildouts around the world. In good and bad times alike, more and more consumers are turning to the network as a source of critical information and commerce, with, for example online retail sales in the US alone expected to increase from $174 billion in 2007 to over $334 billion in 2012 according to Forrester Research. And obviously growing trends such as social networking are making the network and increasingly popular destination. In the first quarter, the edge represented more than half of our infrastructure business. As in previous quarters, we expect to see this mix fluctuate between core and edge quarter-to-quarter. So starting with the core of the network, we have realized robust demand for the T-series in the quarter. The new T1600 commenced initial shipments late last year and I am pleased to share with you the exiting news of our first full quarter of shipping the T1600. We have booked orders for a 105 units and shipped 77 units to customers for deployment in production networks around the world. And surpassing this 100 unit milestone a little more than a quarter, compares quite favorably to results touted by our competitor, which claimed to the same 100 units accomplishment of a new core router after, a quote only, a full year of customer testing. By contrast, this kind of rapid Juniper adoption is proved positive of the power of JUNOS operating system portfolio strategy, as well as a clear indication of the urgency our customers have to maximize network performance. Another key milestone worth noting is the sense, introducing the T-series core routers in 2002. We have now shipped more 4000 units worldwide, 1000 of which were shipped in 2007 alone, representing deployments in more than 200 production networks around the world. Again, as a point of comparison for those keeping score out there, this represents more than twice the number of 1900 total units shipped by our largest competitor, and this according to their own announcement last month. As an extension of the fieldwork we have been engaged in with NTT in Japan since 2006, Juniper received orders in this quarter from NTT for the initial deployment of routing platforms for its next generation network. Commercial deployment commenced at the end of March, and we will continue to work closely with NTT on this deployment as network demand grows. And as a reminder, obviously we are pleased with this business and the opportunity to share this news with you, but we also expect these deployments will occur in a manner consistent with other NGN implementations around the world, which means over a multiyear period and with no significant impact in any particular quarter. Other T-series customer deployments in the first quarter include Tiscali International Network, the wholesale carrier division of the Tiscali Group in Italy, who announced the intention to scale their core infrastructure with the T1600 and HiNet, a wholly owned subsidiary of Chunghwa Telecom in Taiwan, announcing their intention to expand the capacity of their GigaPOPs with multiple T640 core routers, and these GigaPOPs are ultra high performance points of presence that will support advanced by IP traffic across the entire HiNet network. Shifting to edge of the network, initially shipments of the MX240 commenced in the quarter, as deployments of the MX960 and MX480 Carrier Ethernet services routers continue to gain momentum. PeterStar, a leading Russian telecommunications provider, Spectrum Net, a leading Bulgarian provider, nLayer, a leading North American provider of Internet connectivity and wholesale bandwidth, and Carphone Warehouse, one of the largest independent service providers in the U.K., all announced our intentions to deploy the MX to scale their network infrastructures inline with escalating demand for services. And capping our first year of selling the MX-series, I am pleased to share that the MX business grew by an additional 25% in this first quarter, even after surpassing a $200 million annual run rate in its first three quarters of shipments. We have realized strength across the E and M series in the quarter as well, securing a large number of new E320 service provider customers in emerging countries in EMEA, and a number of service providers in Fortune 500 Enterprise Companies in the US for the M320 and M120 respectively. In the quarter, we also announced the mobile IP/MPLS solution portfolio that includes the new BX 7000 multi-access gateway router, new aggregation capability for the M-series, and a suite of software features intended to simplify the deployment provisioning and management of mobile backhaul networks. Our expanding presence in this mobile backhaul transport segment of the market provides us with an exceptional opportunity in an overall market estimated by a recent Infonetics Research report to grow from $4.5 billion in expenditures in 2007 to $8.2 billion in total in 2010, and within that IP/MPLS and Ethernet packet equipment growing at a rate faster than other elements in that market segment. And finally, from a market share perspective Juniper continued to gain market share in every major product category. According to Synergy Research for the latest quarter reported, which is Q4 of '07, Juniper fortified its number by two positions in service provider routing, and gained share in the core, edge, ERX, Ethernet services, and Multiservice Edge categories, providing further evidence of our ability to execute and deliver significant innovation to our service provider customers. So now shifting gears, I would like to first comment on the market, and then some of the key achievements within the enterprise business. Overall, the demand for high performance network infrastructure in the enterprise market was largely as we expected, with on target results in both the EMEA and APAC regions, and typical seasonality and linearity worldwide. The only softness that we saw was somewhat in the US, particularly in the Federal business. Otherwise, we saw strength across the enterprise business, and continue to see encouraging activities levels and very strong acknowledgement of Juniper advantages relative to competitive offerings. Again, to comment only on the market for high performance networking as supposed to the broader market place, we continue to see opportunity for Juniper as evidenced by our worldwide enterprise business, which grew more than 20% from last year. In the quarter, our obvious major milestone was the introduction of the EX-series of Ethernet switches, which alleviate cost complexity and risk associated with managing legacy switch infrastructures. The EX-series deliver simplicity, carrier class reliability, and infrastructure consolidation to our enterprise customers, who more than ever tell us their networks are just as critical to them as are those we provide to our service provider customers using the identical time tested JUNOS software. We are pleased to report that following those announcements, both the EX 3200 and EX 4200 switches commenced shipping in the quarter and are being met with an enthusiastic response from both our customers and our partners around the world. We expect to realize revenue as planned in this, now the second quarter, and we will report progress through the year as to the acceptance and momentum associated with Juniper's entry into the Ethernet switch market. In the first quarter, we announced the integration of ScreenOS security services including Firewall and VPN into JUNOS for implementation on the J-series services routers. We also recently introduced family of 10 Gigabit Intrusion Prevention System appliances including the IDP 8200, a series of next generation SSL VPN appliances, including the Secure Access 2500, 4500 and 6500, and the Juniper Networks Security Threat Response Manager. The simplest way to describe these products and services is as the realization of our strategy of innovation, integration and performance, demonstrated in multiple examples across the portfolio, and in a great example of Juniper leverage from our service provider customers in this enterprise market, and this in the form of managed services. Verizon business extended its managed Wide Area Network optimization service offering with the introduction of managed routing and security services based on the Juniper network's J-series services routers. And this adds to services already in the market based on our WX platforms, and provides customers with greater choice and flexibility in advanced Verizon business offerings. And finally, from a market share perspective, Juniper gained share in every major product category. According to Synergy Research for the latest quarter reported, which again is Q4 of '07, Juniper gained shares in high end enterprise routing, and according to Infonetics Research for the same fourth quarter, Juniper fortified its number by two positions in total network security, extended its number one position in SSL VPN, and gained share in the high end firewall and secure routing categories. So, these are the highlights across the markets and the geographies we serve worldwide. In the quarter, we also bolstered the bench strength of our Juniper executive team with the appointment of Dr. David Yen to the position of Executive Vice President of emerging technologies, and the appointment of Michele Goins to the position of Chief Information Officer. David joins us from Sun, and Michele from HP, and both executives have proven track records in delivering innovations and execution at scale. These appointments highlight our ability to attract the best talent in the industry, and we welcome David and Michele to the team. And with that, let me turn the call over to Robyn for a detailed financial review of the quarter. And then, I will come back for change this time with a few financial comments on the outlook we see for the major markets going forward, and then, our guidance for the second quarter. So, with that, Robyn? The team and the entire company, Juniper did a very good job this quarter, and we performed extremely well against many of our key metrics. We delivered top line growth, up 31% over the last year, operating profits up 57% over the last year, cash flow from operations up 68% over the last year, as well as strong operating margins. All of which were goals we set for ourselves as the year began. In our diverse product portfolio, our geographic distribution coupled with our high performance networking strategy drew the momentum we saw this quarter, and I will comment more on that in just a moment. As an overall market observation, we see clear evidence that our position in the high performance networking segment of the market enabled us to effectively support our customers' top two priorities - to drive greater efficiency and productivity, while at the same time optimizing their business and network performance. So, let’s get underway and start with the review of the geographies in the markets across both the service provider and enterprise businesses that deliver this quarter's results. On a geographic basis in the first quarter, we saw balance performance across our markets around the world. The Americas represented 51% of total revenues in the first quarter, as compared to 48% in the fourth quarter of 2007, with particular strength in US service providers and key emerging countries in Latin America. Europe, Middle East, and Africa, or EMEA, represented 29% of total revenue in the first quarter, as compared to 33% in the fourth quarter, with strength among service providers in Eastern Europe and Northern Africa. Asia-Pacific or APAC represented 20% of total revenue in the first quarter, slightly higher, when compared to the fourth quarter of 2007 at 19% and highlighted by strength in Japan and China. On a year-over-year basis, we realized growth in all of our theaters with expanding diversification of the business worldwide. We saw strength in service providers markets worldwide, consistent with our expectations for the quarter, and the same was true of our enterprise business in both APAC and EMEA. While we saw some softness in our North American enterprise,, business overall linearity worldwide was similar to what we have seen in previous years, and we saw typical seasonality in the enterprise, but again nothing unusual compared with previous first quarter's in a new calendar year. So, let's now look at the service provider and enterprise businesses, and as a reminder, all of my comments pertain only to the high performance markets, where we are focused. I want to be sure, not to imply that these perspectives include commodity markets or more tactical purchasing decisions that others may see. So first, in the service providers, the service provider business continued to reflect healthy demand for our high performance network infrastructure both at the core and edge of the network. While there were always the individual networks and projects in one phase of growth or digestion, we saw no evidence of weakening demand environment in the US, or any direct impact on planned or in-process network infrastructure buildouts around the world. In good and bad times alike, more and more consumers are turning to the network as a source of critical information and commerce, with, for example online retail sales in the US alone expected to increase from $174 billion in 2007 to over $334 billion in 2012 according to Forrester Research. And obviously growing trends such as social networking are making the network and increasingly popular destination. In the first quarter, the edge represented more than half of our infrastructure business. As in previous quarters, we expect to see this mix fluctuate between core and edge quarter-to-quarter. So starting with the core of the network, we have realized robust demand for the T-series in the quarter. The new T1600 commenced initial shipments late last year and I am pleased to share with you the exiting news of our first full quarter of shipping the T1600. We have booked orders for a 105 units and shipped 77 units to customers for deployment in production networks around the world. And surpassing this 100 unit milestone a little more than a quarter, compares quite favorably to results touted by our competitor, which claimed to the same 100 units accomplishment of a new core router after, a quote only, a full year of customer testing. By contrast, this kind of rapid Juniper adoption is proved positive of the power of JUNOS operating system portfolio strategy, as well as a clear indication of the urgency our customers have to maximize network performance. Another key milestone worth noting is the sense, introducing the T-series core routers in 2002. We have now shipped more 4000 units worldwide, 1000 of which were shipped in 2007 alone, representing deployments in more than 200 production networks around the world. Again, as a point of comparison for those keeping score out there, this represents more than twice the number of 1900 total units shipped by our largest competitor, and this according to their own announcement last month. As an extension of the fieldwork we have been engaged in with NTT in Japan since 2006, Juniper received orders in this quarter from NTT for the initial deployment of routing platforms for its next generation network. Commercial deployment commenced at the end of March, and we will continue to work closely with NTT on this deployment as network demand grows. And as a reminder, obviously we are pleased with this business and the opportunity to share this news with you, but we also expect these deployments will occur in a manner consistent with other NGN implementations around the world, which means over a multiyear period and with no significant impact in any particular quarter. Other T-series customer deployments in the first quarter include Tiscali International Network, the wholesale carrier division of the Tiscali Group in Italy, who announced the intention to scale their core infrastructure with the T1600 and HiNet, a wholly owned subsidiary of Chunghwa Telecom in Taiwan, announcing their intention to expand the capacity of their GigaPOPs with multiple T640 core routers, and these GigaPOPs are ultra high performance points of presence that will support advanced by IP traffic across the entire HiNet network. Shifting to edge of the network, initially shipments of the MX240 commenced in the quarter, as deployments of the MX960 and MX480 Carrier Ethernet services routers continue to gain momentum. PeterStar, a leading Russian telecommunications provider, Spectrum Net, a leading Bulgarian provider, nLayer, a leading North American provider of Internet connectivity and wholesale bandwidth, and Carphone Warehouse, one of the largest independent service providers in the U.K., all announced our intentions to deploy the MX to scale their network infrastructures inline with escalating demand for services. And capping our first year of selling the MX-series, I am pleased to share that the MX business grew by an additional 25% in this first quarter, even after surpassing a $200 million annual run rate in its first three quarters of shipments. We have realized strength across the E and M series in the quarter as well, securing a large number of new E320 service provider customers in emerging countries in EMEA, and a number of service providers in Fortune 500 Enterprise Companies in the US for the M320 and M120 respectively. In the quarter, we also announced the mobile IP/MPLS solution portfolio that includes the new BX 7000 multi-access gateway router, new aggregation capability for the M-series, and a suite of software features intended to simplify the deployment provisioning and management of mobile backhaul networks. Our expanding presence in this mobile backhaul transport segment of the market provides us with an exceptional opportunity in an overall market estimated by a recent Infonetics Research report to grow from $4.5 billion in expenditures in 2007 to $8.2 billion in total in 2010, and within that IP/MPLS and Ethernet packet equipment growing at a rate faster than other elements in that market segment. And finally, from a market share perspective Juniper continued to gain market share in every major product category. According to Synergy Research for the latest quarter reported, which is Q4 of '07, Juniper fortified its number by two positions in service provider routing, and gained share in the core, edge, ERX, Ethernet services, and Multiservice Edge categories, providing further evidence of our ability to execute and deliver significant innovation to our service provider customers. So now shifting gears, I would like to first comment on the market, and then some of the key achievements within the enterprise business. Overall, the demand for high performance network infrastructure in the enterprise market was largely as we expected, with on target results in both the EMEA and APAC regions, and typical seasonality and linearity worldwide. The only softness that we saw was somewhat in the US, particularly in the Federal business. Otherwise, we saw strength across the enterprise business, and continue to see encouraging activities levels and very strong acknowledgement of Juniper advantages relative to competitive offerings. Again, to comment only on the market for high performance networking as supposed to the broader market place, we continue to see opportunity for Juniper as evidenced by our worldwide enterprise business, which grew more than 20% from last year. In the quarter, our obvious major milestone was the introduction of the EX-series of Ethernet switches, which alleviate cost complexity and risk associated with managing legacy switch infrastructures. The EX-series deliver simplicity, carrier class reliability, and infrastructure consolidation to our enterprise customers, who more than ever tell us their networks are just as critical to them as are those we provide to our service provider customers using the identical time tested JUNOS software. We are pleased to report that following those announcements, both the EX 3200 and EX 4200 switches commenced shipping in the quarter and are being met with an enthusiastic response from both our customers and our partners around the world. We expect to realize revenue as planned in this, now the second quarter, and we will report progress through the year as to the acceptance and momentum associated with Juniper's entry into the Ethernet switch market. In the first quarter, we announced the integration of ScreenOS security services including Firewall and VPN into JUNOS for implementation on the J-series services routers. We also recently introduced family of 10 Gigabit Intrusion Prevention System appliances including the IDP 8200, a series of next generation SSL VPN appliances, including the Secure Access 2500, 4500 and 6500, and the Juniper Networks Security Threat Response Manager. The simplest way to describe these products and services is as the realization of our strategy of innovation, integration and performance, demonstrated in multiple examples across the portfolio, and in a great example of Juniper leverage from our service provider customers in this enterprise market, and this in the form of managed services. Verizon business extended its managed Wide Area Network optimization service offering with the introduction of managed routing and security services based on the Juniper network's J-series services routers. And this adds to services already in the market based on our WX platforms, and provides customers with greater choice and flexibility in advanced Verizon business offerings. And finally, from a market share perspective, Juniper gained share in every major product category. According to Synergy Research for the latest quarter reported, which again is Q4 of '07, Juniper gained shares in high end enterprise routing, and according to Infonetics Research for the same fourth quarter, Juniper fortified its number by two positions in total network security, extended its number one position in SSL VPN, and gained share in the high end firewall and secure routing categories. So, these are the highlights across the markets and the geographies we serve worldwide. In the quarter, we also bolstered the bench strength of our Juniper executive team with the appointment of Dr. David Yen to the position of Executive Vice President of emerging technologies, and the appointment of Michele Goins to the position of Chief Information Officer. David joins us from Sun, and Michele from HP, and both executives have proven track records in delivering innovations and execution at scale. These appointments highlight our ability to attract the best talent in the industry, and we welcome David and Michele to the team. And with that, let me turn the call over to Robyn for a detailed financial review of the quarter. And then, I will come back for change this time with a few financial comments on the outlook we see for the major markets going forward, and then, our guidance for the second quarter. So, with that, Robyn?
Robyn Denholm: Thank you, Scott and good afternoon. I am pleased to report a strong start to 2008. Juniper met or exceeded all guidance metrics for the March quarter, demonstrating our focus on execution on every level. Our outlook for June and rest of the year remains strong, even factoring in the economic conditions that you all heard lots about. Scott will speak directly to the guidance in a few moments, when I have completed the review of the quarter. We left 2007 with good visibility into our demand metrics, which include product book-to-bill, deferred revenues, and the deal pipeline, all of which remain healthy, with book-to-bill above one, and deferred revenue increasing $52.7 million over the last quarter. Our strong product portfolios, good geographic and market diversity, and focus on execution in the high performance networking market, all combined to set a good time for the business fundamentals as we exit the first quarter of 2008. Now, on to the review of the results. I'll discuss revenue and earnings on a GAAP basis first, then shift to the non-GAAP discussion, as we dive deeper into operating performance. Total revenues for Q1 of 2008 was $822.9 million, up 31% from the prior year, and 2% above the very strong fourth quarter. Juniper earned net income of $110.4 million on a GAAP basis, or $0.20 per diluted share, up 79% from the $0.11 reported in the 2007 first quarter. Scott reviewed the revenue performance by geography, so let me add some color with regard to the revenue on a segment basis. Total IPG revenues of $621.8 million were up 35% on a year-over-year basis, and total SLT revenues of $201.1 million were up 21% on a year-over-year basis. Within each of these segments, IPG product revenue were up 37% and IPG services revenue were up 23%. IPG results reflect the strong performance of our T-series product, and continued good momentum with our EDGE product in particular the MX-Series. SLT product revenue was up 17%, and SLT services revenue was up 33% demonstrating good performances by SSL, CPN and SSG products. On a sequential basis, total IPG revenue was up 6%. And total SLT revenue was down 9%, which was slightly lower than anticipated due to some softness in the government sector business as Scott described, and what is typically a seasonally leaking quarter for enterprise sales in general. Looking at the markets we addressed, service providers sales was 74% of total revenue, up 8% sequentially and up 35% year-over-year with good growth in the Americas and APAC. Total sales into the enterprise market were 26%, down 13% sequentially due impart to coming off an exceptionally strong fourth quarter in 2007, and up 21% year-over-year, driven by good growth from EMEA and APAC. No single customer comprised more than 10% of total revenue during the quarter. Turning to our non-GAAP results. Total gross margin for the quarter was 68.4% of revenue above our long-term model range of 66% to 68%. Product gross margins were 71.9%, up, 1.9 points year-over-year, and up 0.5 point compared to Q4 of '07. This improvement was a result of a favorable mix towards high margin infrastructure products, particularly in T and M-Series. We also enjoyed a favorable ratio of feature-rich pick service in our of equipment mix, and as Scott indicated, Q1 is also a good quarter for us without a next series, with several large deployments during the quarter. Our performance of the edge in Q1 was solid, while the outstanding performances, several of our core products, heavily influenced margins. We also continued to focus on cost improvements in our manufacturing and operation, and in the quarter, we saw improvement in growth margins due to these ongoing efforts. Services gross margin were 52.5% for the quarter, down 1.3 percentage point year-over-year, mainly due to the timing of product purchases that are required to support the growth of the business, and up four-tenths of a point compared to Q4 of '07 due to our ongoing operational efficiencies. Operating expenses totaled $369.6 million or 44.9% of revenue. This represents an improvement of 2.4 percentage points from Q1 of last year, when expenses were 47.3% of revenue. Operating expenses were up only 3% from the fourth quarter, despite higher compensation expenses associated with [FICA], and other benefits that are seasonally alighted into this first quarter. In particular, we exhibited good control in sales and marketing expense, which clearly did not limit our ability to drive revenues in the period. R&D expenses totaled $160.3 million or 19.5% of revenue. And sales and marketing expenses totaled $178.5 million or 21.7% of revenue, all of which were in-line with our Q4 expenses level. Operating profit for the quarter was very strong in a $193 million, resulting in an operating margin of 23.5% of revenue. This is an improvement of 3.9 percentage points over Q1 of last year. The main drivers of this improvement are the gross margin growth and the leveraging our operating expenses that we have focused on building into the model, while we continue to invest in the R&D and sales and marketing areas of our business. As we highlighted for you at our recent Analyst Day, our operational excellence program, what we called the 4 P’s is designed to reengineer Juniper’s revenue drivers and cost structure, and is fully underway and yielding initial results in some key areas. Expect us to continue drilling down on this program over the next few quarters. And given the general economic condition, you can also anticipate that our cost focus will sharpen accordingly. Looking at our segments, operating margins for IPJ were strong at approximately 31% for the quarter. Good focus on the operations and growth in revenue and gross margin enabled with strong showing for the quarter. So, SLT, being slightly softer than normal seasonal pattern for our enterprise customer segment, resulted in slightly less revenue on a sequential basis than we were expecting. But good focus on our operations resulted in better than expected gross margins and lower operating expenses for the segment. SLT operating margins were approximately 1.5% for the quarter. On a product only basis, the operating loss for SLT in the March quarter would have been about $5 million. Juniper posted non-GAAP net income of a $149.5 million, down slightly with Q4, and 33% above year ago results. These results are factoring in interest and other income of $17.6 million lower both year-over-year and sequentially, due primarily to lower interest rate. The non-GAAP tax rates for the quarter were 29%, diluted earnings per share were $0.27, again flat with Q4, and up substantially over the prior year figure of $0.19. Turing to the balance sheet, we ended the first quarter with over $2.2 billion in cash and cash equivalents, up from $2 billion at the end of 2007, and reflecting excellent cash flow from operations in the quarter of $255 million. CapEx totaled $33.4 million in the period, and depreciation and amortization was $55.4 million. DSOs reduced to 40 days from 42 in the fourth quarter, well within our predicted ranges. Our deferred revenue was $565.9 million, up $52.7 million compared with the end of the fourth quarter, and aided by the deferral of an ongoing edge router build-out the one of our service provider customer. At March 31, 2008 Juniper had 6111 employees up from 5879 at the 2007 year end. The majority of the additions were in R&D and sales and marketing. During the quarter, we utilized approximately $53 million to repurchase share of our stock and our share count was approximately 560 million shares. And with that, let me hand it back to Scott, to go through the guidance for Q2 2008 and the 2008 full year.
Scott Kriens: Thank you, Robyn. And as you probably see from Robyn’s review, Juniper's business is in very good shape. Success in top line growth, operating leverage, profitability, and cash, all made it possible by the quality of Juniper's commitment to operational excellence in the focus of our high performance networking strategy resulting in overall growth in continued market share gains. We are continuing to invest in and deliver the innovation necessary to capitalize on our opportunity, and we are investing in the sales and support necessary to provide world class responsiveness to the needs of our customers. We are investing in our partners at both the global level with key strategic relationships, and also at the regional level helping valued resellers improve the performance of their businesses as well. Our relentless commitment to improving company-wide execution is unchanged, realizing the day-to-day improvements that are necessary for us to continue to improve the leverage in our business and to sustain the growth rates, which we are targeting in our plans. Our networking industry leadership is also being recognized. In the quarter, Juniper ranked number three overall in the network communications category of Fortune Magazine’s most admired companies in America annual survey. And number one in the innovation category, and number two in quality of services and products and quality management and people management categories, which serves as a testament to the ongoing commitments of now more than 6100 Juniper employees around the world. As we stated in coming into the year, we are continuing to see evidence from customers around the world with the high performance networking market is gaining traction and separating itself from the commodity, network connectivity market. Coupled with this evolution of the high performance market, all of us seem concerned in the overall economy in the US and around the world. The way that translates in our market is that in times of uncertainty, business leaders are making more carefully considered purchase decisions than ever before because each dollar spent is studied. We believe the effect of that caution is to direct spending only to the suppliers and the projects that have the greatest impact on the performance of the business, and when that depends on the performance of the network, a high performance Juniper decisions will continue to be made. So, now let's turn to guidance for the second quarter. Guidance is provided on a non-GAAP basis. All guidance is forward-looking, and actual results may vary for a number of reasons including those noted in our recent 10-K, as filed with the SEC. A GAAP EPS target is not accessible on a forward-looking basis due to the high variability and low visibility with respect to the charges, which are excluded from the non-GAAP EPS estimates. With customers relying on us more and more, we are proceeding with our plans to grow the business, while at the time being mindful of the economy around us. Our business is more diversified, than it’s ever been in all categories, markets, geographies, customers and products, which allows us to maintain the view, that our financial performance will continue as planned in the second quarter. For the second quarter, we expect revenues of between $845 million to $855 million, and earnings per share of between $0.26 and $0.27, assuming a tax rate of 29%. We expect operating margins in the range of 22.5% to 23.5% of revenue for the quarter. This is a significant improvement over the second quarter of 2007 operating income margins, which were 20.4%, which reflects an ongoing commitment to the operational performance of the company. For the full-year, we remain comfortable with our previous revenue outlook of $3.4 billion to $3.55 billion. And in addition, we are adjusting the range of our EPS guidance from $1.10 per share to $1.13 per share. We expect lower interest rates to reduce interest income by $30 million to $40 million. And despite this reduction in interest earnings, which translates to approximately $0.04 to $0.05 per share, we feel comfortable in raising the lower end of our earnings per share guidance. This reflects our expectation of continuing operational improvements as well as a slightly lower share count of 560 million to 570 million shares. We continue to expect to exit the December 2008 quarter with operating margins of 25% or higher. As we chart our course for 2008, our financial objective remains clear and concise, accelerating top line growth and market share gains, and continuing to demonstrate leverage in the business by growing the bottom line even faster. We believe that we have the visibility across the high performance networking marketplace necessary to make this possible, and we have the commitment across Juniper to drive the intense execution necessary to capitalize on the opportunities in front of us. All of this is possible only with the support of our employees, whose continued commitment and incredible efforts make these results possible, as well as our many partners, customers, our suppliers, and our long-term stockholders. I would like to thank you all for your continued support and confidence in Juniper. And so with that, I will now turn the call over Kathleen to initiate our question-and-answer session.
Kathleen Bela: Thank you, Scott. Okay, Shannon, we are ready to begun the Q&A session of the call.
Operator: Thank you very much. (Operator Instructions). Our first question comes from the line of Paul Silverstein with Credit Suisse. Please go ahead.
Paul Silverstein - Credit Suisse: I'm sorry, Scott. Here as I'm trying to think, which question to ask, I guess I'll limit to a narrow question. Alcatel-Lucent had been an issue for you and Cisco in the past. Putting side the market opportunity in front of you in terms of where it's really on the carrier side, can you give us some insight in terms of what you are seeing there, both in particular from Alcatel-Lucent as well as more generally in terms of competitive landscape?
Scott Kriens: Sure, Paul. I don't know that I can add any more color really on Alcatel-Lucent. We just don't see enough of it probably to have any new insights there. The TiMetra acquisition that they made some years ago is a product in the market that we see. But I think on other fronts what we see them in more in a capacity of this as a partner in some of the work that we do together in supportive networks and system integration on that side of the business. So, certainly, the competitive overlap exists in the particular area related to the acquisition, but no real new news there, nothing of significance to report on this side. On the broader front, competitively I think what is happening in the market today and to the extent that others are struggling with some their economic challenges I guess, but I think it is also the beginning of the separation in the marketplace here. We are starting to see the strength of our case; it's partly in some of its product cycles and some of its diversities because clearly we have markets around the world. And I think that's been the strength that has driven success in some of the other larger companies that have delivered results on the technology side in the last couple of weeks. And I think this is probably the most important element that we have seen, is this slice of the overall networking market that we focus on this high performance segment. I don't know. I can't tell you until we watch it happen for every quarter of the year. But thus far, it just doesn't seem to suffer the impact with some of the less strategic segments or more commodity-like decisions are feeling under some of the pressures that are out there. How real or self-inflicted some of these concerns are and I guess we'll find that overtime. In terms of the caution that's out there. But I think the strongest driver for us and where we see the greatest advantage relative to competitors is in the combination of size and speed. We've got the size and the breath to portfolio in coverage. And I think that gives people the comfort to do business with us when they are being more careful about how they spend. And we've got the speed and the innovation and the technology to be able to give them an advantage in their market relative to their competitor. So those are the strongest things we see as drivers and where it isn't being seen to the benefit of others out there competitively. I think, it’s missing one or more of those elements in the alternative approaches.
Kathleen Bela: Next question, please?
Operator: Our next question comes from the line of Simona Jankowski with Goldman Sachs. Please go ahead.
Simona Jankowski - Goldman Sachs: Hi, thank you very much. Just wanted to see if we can get a little more detail on your deferred revenue balance, looks like you were surprised there about the 12% quarter on quarter, is there anyway you can break that down a little further? By how much the NTT order you've bidden that versus the MX versus some of the other, I think, you're experiencing.
Robyn Denholm: Thanks Simona for that question. In terms of the deferred revenue, we're happy with the growth, in terms of what's happening in that area. Its first product then services and the color that I gave in terms of the script is, there is one ongoing deal that we're continuing to defer. But otherwise, every quarter, we have new advertisments to the deferred revenue and things that actually get recognized each quarter. So that's how the deferred revenue works. And for the quarter, there isn't any NTT in here. As Scott said, it actually is, there were orders that we do -- that we won in the quarter as opposed to revenue or shipment.
Kathleen Bela: Can I have the next question, please?
Operator: Our next question comes from the line of Ehud Gelblum from JPMorgan. Please go ahead.
Ehud Gelblum - JPMorgan: Hi. Thank you very much. Just want to confirm a couple of things. Scott at the end when you gave the reiteration of the 25% operating margin guidance for the end of the year, you said it were higher. I heard you said it multiple times in the past, can't remember if you said or higher before. I don't you did, but I just wanted to make that I am hearing correctly that you are higher apart is new and so we can have read into that? Second of all, when you look at your EPS guidance, if I go through the moving parts, you beat by $0.02 this quarter and you're raising the bottom-end of your guidance for that $0.02, you going have--
Scott Kriens: Ehud, you there?
Operator: Mr. Gelblum, your line is still open. One moment please, I'll verify if he is connected.
Robyn Denholm: We can move to then.
Kathleen Bela: Yeah, we can move to then.
Scott Kriens: Let me answer the first half and if Ehud doesn't come back I guess it's a second half. Ehud's first question around whether the 25% or higher comment was that carefully selected, it really for us represents no change in comments we've made in the past regarding our operating margins, which is that the 25% target that we've had exiting the year is a target as you know that we put in place when the year began. And one of the questions, we got at the time was whether that was a stopping point, to whether there was some design decision of ours that that would be the high end of the possibility. And the clarification we offered that time was no. That was a target for the end of December. Whether or not it would go higher actually depends on how the year unfolds on a number of fronts really. Obviously, our performance will have something to do with, but also the opportunities we see out there and the return on the investments that we might make. So, it clearly could go higher than that and there is nothing in our plans to prevent in anyway, but the decisions as to what we will do with the excess proceeds from our improving performance will be decisions we make as the year unfolds. Certainly, that targeted 25% remains intact and I guess at a minimum one quarter more confidence in hitting that target than the goal that we set in the January timeframe.
Ehud Gelblum - JPMorgan: Can you hear me now?
Kathleen Bela: Yes.
Scott Kriens: Yeah. Ehud, I won't guess it's a second half of your question. Go ahead.
Ehud Gelblum - JPMorgan: I actually started singing into phone, so…
Scott Kriens: What about the results too.
Ehud Gelblum - JPMorgan: So what I was trying to do was the work up that Robyn that you were talking about. Since I had no idea of you did here, I didn't hear, so I'll be very quick. You raise the $0.02 bottom; you're yielding to $0.04 to $0.05 headwind on the interest income. And therefore, you're making up for that. Is the $0.04 to $0.05 of extra optimism you have now for that, does that come and continue to strength that of IPG or is it from IPG going back to kind of what it should have been along in the original model and recovering SLT to higher point which one of those? I know that's from last conference call as well, but I'll be interesting to see if you have any other additions in terms of where you think your SLT margins can get to by the end of the year? And then, I did not quite understand you said something after you mentioned the 1.5% operating margins for SLT, I think there was positive 1.5% but you said something about $5 million loss. After that I just wasn't -- interesting run off? Thank you.
Robyn Denholm: I'll answer the last part of that question. So, the operating margin for SLT as a segment including services was a positive 1.5% in the quarter. The $5 million loss represents the approximation of what it would have been on a product only by basis.
Ehud Gelblum - JPMorgan: No, I understand. Thank you.
Robyn Denholm: It is the all disclosure. That was what we were talking about.
Scott Kriens: And then, Ehud, on the guidance side of things, yes, you are correct in the disassembly of that guidance on earnings that we gave. It represents improving or raising the lower end of that range from the previous guidance in January of $8 to today's guidance on the low end of $10. And it also does represent the expectation of recovering approximately $0.04 to $0.05 of lost interest income which comes from our cash balances being negatively effective by lower interest rates relative to the beginning of the year. And our guidance here is been addition to lowering that into -- raising the lower end of the range by the $0.02, we are also raising our overall performance from the business itself in terms of operating results to offset the $0.04 to $0.05 negative impact of lower interest rates. So that comes, I would say from two attributes primarily. One, confidence in our operating abilities and in our execution, both the general execution as well as the 4P's the operational excellence program that Robyn alluded to and that we've talked about in the past. That's one of the two. And then second, it isn't particular to SLT or IPG or enterprise or service provider per se. It is the strength of the market segment. It's really the strength that we see in the high performance segment. We saw greater than 20% growth in our enterprise business, higher growth in that, 30% plus in our service provider business. So we see strong opportunity in both segments. And I guess at this point, no ability to distinguish whether one or the other will be leaving stronger contributor relative to its counterpart going forward. So it's really more I'd say the result of what the feedback we're getting from our focus on the market segment of high performance networking. And then, finally, there is a slightly lower share count as a result of some of the share repurchase. But it's primarily the consequences in vast interest income opportunity and the recovery plan for that is the function of operational excellence and market strength.
Ehud Gelblum - JPMorgan: But given your operating margin is unchanged; we should assume its strengthening the top line. And given that, SLT was weaker this quarter, you wouldn't necessarily have any reason to believe that SLT is stronger. So it's sounds again, falls and due stronger IPG revenue?
Scott Kriens: No, I wouldn't say that. I'd say, we expect to see continued strength in the enterprise business, which should be both SLT performance. And it was again, over 20% this quarter and that's been its average performance over the last four quarter. So we do see continued strength out of the SLT business and the enterprise marketplace. Its not so much top line growth because we didn't really changed our top line guidance, its realization at an earlier stage than we previously anticipated of operating margin improvements as a percentage of revenue that will create the $0.04 to $0.05. So it's really accelerating the benefit of our operational efficiencies.
Ehud Gelblum - JPMorgan: Okay. Thank you.
Scott Kriens: Thanks
Operator: Our next question comes from the line of Inder Singh with Lehman Brothers. Please go ahead.
Inder Singh - Lehman Brothers: Yes, thanks. I just wanted to get little more color on the adoption that you're already seeing on the T1600, whether that's driving upgrades in your existing customer base or are you selling into some new customers as well? Can you give us some color on the types of products you've start to ship there, whether the T series, maybe a breakdown of how the T Series plays into versus EDGE routers please?
Scott Kriens: Into the T1600 is primarily shipment into existing customers but that's because we already have the top 65 customers worldwide, each one of them has a customer. So given the scale and performance of the T1600 the first the largest 65 customers service providers in the world all of whom are customers are going to be first consumer of it. So, technically speaking it will be into networks that we already have a presence in. In some cases it’s new applications or new deployments of core infrastructure and in some cases it’s also enables further sales of T640, because since its seamlessly upgradeable and people’s knowledge of the existence in the upgrade path of the T1600 and the ability to take all of the interfaces and all of the investment in the 640 and roll it into the 1600 without loss of any that investments allow them to buy 640’s with piece of mind that there is long life to that asset. So, it has multiple benefits to us. With regard to NTT, it’s clearly the NGN build out is at the early stages is driven by the core meaning driven by T-series products, but we are not really at this stage at least have liberty to detail the configurations or the breakdown of that. Frankly, I’m pleased NTT has allowed us to make the comments that we are able to make today just to put the now year old question to rest, but beyond that we have to look to them to make comments on their network in particular. All I can say is, they were pleased to be able -- frankly I tell you there is not much celebration here if any on the subject itself because it’s not really new news. I am just glad to be able talk about it and let you know that it’s happening. So, we are certainly pleased with its confidence NTT is displayed by their decision. So, I don’t mean to say anything else on that front to anything of the contrary. But the role out again, is one of those things its going to happen over multiple quarters in fact multiple years and early roll out of that will begin at (inaudible) with T-series.
Operator: And our next question comes from the line of Tal Liani with Merrill Lynch. Please go ahead.
Tal Liani - Merrill Lynch: Hello, this is Tal Liani. Hopefully you can hear me properly.
Scott Kriens: Go ahead, Tal.
Tal Liani - Merrill Lynch: Hi, I have a one question with two parts not related, Ericsson and other big resellers if you can comment on revenue contribution and then the bigger question of EX switches, what are your expectations and what’s in the numbers for this year and what are your expectations for next year and if you can relate to modular versus fix configuration switches. How do you see it growing? Thank you.
Robyn Denholm: So, on the first part of the question in terms of revenue from any one of the partners on Ericsson, Alcatel-Lucent and NSN, none of them were above 10% this quarter. All of them were low 10% for our definition and that’s the breakout that we normally give you. So, on the second part of the question, Scott I think on the EX.
Scott Kriens: Yeah, EX, the milestone for this last quarter just completed was to hit the first revenue shipment goal of getting product through our test processes and make it eligible and shipping for production use. As we said and I think this will continue to be true, there are a couple of phases of deployment here. One is for the sale cycle process of getting the product out there and presenting the differentiation it holds and all of that and then that will put us into test and design win exercises or people will go to acceptance practices that they have to check the product out and integrate within their designs and then that will be followed by actual rollouts. So, we don’t expect as we said in January with the announcement, we don’t expect to see material revenues from it until 2009. Although I expect, there will be some, as we mention there will be some revenue that has come in simply because of product is shipping for production use and there will be some. I guess probably pretty limited cases, where we will see people buying and deploying it in simpler more straight forward networks. But I think the significant or material revenue that we will see, is can be a function of first sale cycles and then design and acceptance cycle. So, we would expect to see that, the material benefit of that contribute in '09 and that's really not changed from what we saw in January at the product launch.
Kathleen Bela: Okay. Next question please.
Operator: Our next question comes from the line of Scott Coleman with Morgan Stanley. Please go ahead.
Scott Coleman - Morgan Stanley: Sure thanks. Just a clarification on the SLT margin, Scott, I think last quarter you said, you wouldn't expect SLT products to go back to a loss in Q1, but on the old reporting scheme it did. So, I am just curious if that was mix related or pricing or it was end-demand related in North America because it would seem that it felt short of what your expectation work from a profitability standpoint?
Robyn Denholm: Scott, I will answer that. In my part of the script what I talked about was, we had a slightly softer start to the quarter. All of the start to the year in terms of enterprise, we normally see a seasonal decline in Q1 and Scott did talk about that last quarter. It was slightly more that what we normally see in Q1 and again referring back to the script today. It was due to some softness in the Federal vertical that we saw this quarter.
Operator: Our next question comes from the line of Sanjiv Wadhwani from Stifel Nicolaus. Please go ahead.
Sanjeev Wadhwani - Stifel Nicolaus: Thank you. Scott, I was wondering on the guidance, you could give us a little more granularity on geographies, what are you expecting in the US versus Europe versus APAC. And then just quick follow-up on NTT, you mentioned the taking the T-series, you're also taking the T1600 or T640, any granularity there will be helpful? Thanks
Scott Kriens: Sanjeev, in terms of the expectations we have with regard to geographic distribution, its always a little hard to tell in terms of the relative contributions, in other words, percent of total contributed by each, because the strength of one can offset another. The beginning of the year is not the same, all around the world, so you'll sometime see Asia fluctuate a bit. We saw some strength in Asia in the first quarter even though that isn't always the case. So, I would expect to continue to see Asia do well. AMEA business has been solid, the enterprise business in particular there has been very solid. So, I certainly expect that to continue and the US was up a little bit in this quarter. It was over 50%, it’s been in the high 40s. It could bounce around a few points one way or another depending on how the others do, but I don't think overall my comment would be, I don't have any macro or micro reason to expect any noteworthy adjustments in the contribution mix, couple of percentage points one way or the other. And frankly, that's the strength of the business, its one of the reasons that we have the confidence that we do to reiterate our guidance for the year and also to give you the improved guidance that we have on the bottom line. With regard to NTT, I'm afraid I can not provide any more color there than what they authorized us to comment on. It is T-series related. The thing that is true though in general and I guess I’ll just carefully not make this comment exactly particular to NTT. But the beauty of the fact that you can buy T640 interfaces and put them in T1600 means that the Chassis decision is painless and that deployment decision is protected. So, if you see somebody make a T1600 choice over a T640, what they’re basically saying is they have a higher total capacity expectation and they want to deploy the higher capacity Chassis on the first day. But if you see somebody make a T640 decision, they may simply be slowing their CapEx spend more cautiously into their network and planning the upgrade to the higher speed Chassis at a future date. And what it really translates to if you were a CFO of one our major service provider customers, you would be being told by your operations organization, and what Juniper can do, is more exactly match your expense to the realized revenue with less of the stair step that would be required competitively. In other words, you don’t have to buy Juniper equipment to ahead of its ability to generate revenue for you, in a way that you do competitively relatively to our offering. So, you’ll see people depending on how carefully they want to manage that line and how far out in front of their growth rates they want to go. In one case choose a T640 Chassis and in other case a T1600, but the complete flexibility of the interface is which is really the highest cost element allows people to make choices one way or the other. And finally from a Juniper point of view, we’re neutral actually. We don’t really push or have a preference one way or the other. Margins are noticeably different one side of the equation or the other and the flexibility that the customers choose doesn’t benefit or harm our business in terms of its contributions.
Sanjiv Wadhwani - Stifel Nicolaus: Got it, thank you.
Scott Kriens: Thanks, Sanjiv.
Operator: Thank you. Our next question comes from line of Nikos Theodosopoulos from UBS. Please go ahead.
Nikos Theodosopoulos - UBS: Okay. Two quick ones hopefully. On the EX ramp, I guess the question I have is, with the more caution in enterprise spending in the United States and perhaps some in Europe. Do you think there is going to be a longer sales cycle or testing cycle or do you not see that? And the second question would be, why is the company not going to be or has not been more aggressive with the buybacks, given the low interest rates and low stock price? Thank you.
Scott Kriens: Nikos, on the EX ramp I don’t know what to think of -- first of all, I guess, I'm not sure how much caution there actually is out there. I think we are seeing less of it in our segment and other, so we're probably not as well suited to comment on, what the mood or attitude actually is. It’s possible that caution that does exist could translate into people being more careful about changing horses, if you will. It's also possible that they may put their foot down and stops spending on legacy unstable equipment, that doesn’t meet their needs anymore. So, it could actually go either way. And for us its too early to tell, I think we may know a little more in the second half of the year, there is a great deal when I guess it depends on how you look at it. On the one side of it pent-up frustration on the other side urgency around application deployment and so forth. So I don't know is the I guess not so short answer on that. But I do not have any reason at this point to think it is going to have the major influence. I could argue either side of it and we just enough data yet.
Robyn Denholm: So on the stock repurchase program, Nikos, at the Analyst conference, we announced the maintenance program and the additional $1 billion in terms of the ability to buyback. The two were not directly linked. We can still go it out and buy opportunistically depending on the right circumstances in terms of share price and other uses of cash, et cetera. So that is something that we've talked about previously that we can do at any time and evoke that.
Kathleen Bela: Okay. Operator, we have time for one more question.
Operator: Perfect. Our next question comes from the line of Mark Sue with RBC Capital Markets. Please go ahead.
Mark Sue - RBC Capital Markets: Robyn, you voice sounds like you were yelling at the fed sales people a quarter. Maybe if you can help us understand why we shouldn't extrapolate the SLT weakness as more challenges to come? Have you recovered the fed sales that slipped, are closure rate back where they should be, and is the SLT book-to-bill greater than one?
Scott Kriens: Mark, a couple of things than Robyn can talk about some of those specifics. Frankly, I don't know what we'll see in fed this quarter. It is an uncertain time in our government this time a year. So we will see what happens there. I think that at least we don't see reason to extrapolate from what we saw in the first quarter in Federal across the balance of the enterprise markets or certainly the world. There was and there is going to be, I suspect, some continuing concerns. Certainly, we've heard news, you've all are living in the segment where people have announced lay outs within financial services and things like that. So we're going to be obviously, be careful on a vertical basis within the financial services sector in particular. But there as much in this high performance segment and there is as much reason for optimism as otherwise across both the markets in the U.S. and certainly others around the world.
Robyn Denholm: So, on the book-to-bill, we don't specifically break it out between SLT and IPG. But there is not a huge difference between the two in terms of book-to-bill ratio. So that's --
Mark Sue - RBC Capital Markets: Got it. That's helpful. Certainly, Robyn, does status of the converter and the impact on interest expenses?
Robyn Denholm: So that's used to convert in June as planned.
Mark Sue - RBC Capital Markets: Okay. Got it. Thank you and good luck
Robyn Denholm: Thank you
Scott Kriens: Thanks, Mark.
Kathleen Bela: Okay. We'd like to thank everyone for joining us today to talk about our results for the first quarter. And we look forward to meeting you again next quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference call. We thank you much for your participation and we ask that you please disconnect your lines. Have a wonderful and lovely afternoon everyone.